Operator: Good morning, and welcome to Standex International Fiscal First Quarter 2022 Conference Call. All participants will be in listen-only mode. . After today’s presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. Now I’d like to turn the conference over to Gary Farber, Affinity Growth Advisors. Please go ahead, sir.
Gary Farber: Thank you, operator, and good morning. Please note that the presentation accompanying management's remarks can be found on the Investor Relations portion of the Company's website at www.standex.com. Please refer to Standex's Safe Harbor statement on Slide 2. Matters that Standex management will discuss on today's call include predictions, estimates, expectations and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially. You should refer to Standex's most recent Annual Report on Form 10-K as well as other SEC filings and public announcements for a detailed list of risk factors. In addition, I'd like to remind you that today's discussion will include references to the non- GAAP measures of EBIT, which is earnings before interest and taxes; adjusted EBIT, which is EBIT excluding restructuring, purchase accounting, acquisition-related expenses and onetime items; EBITDA, which is earnings before interest, taxes, depreciation and amortization; adjusted EBITDA, which is EBITDA excluding restructuring, purchase accounting, acquisition-related expenses and onetime items; EBITDA margin; and adjusted EBITDA margin. We will also refer to other non-GAAP measures, including adjusted net income, adjusted operating income, adjusted net income from continuing operations, adjusted earnings per share, adjusted operating margin, free operating cash flow and pro forma net debt to EBITDA. These non-GAAP financial measures are intended to serve as a complement to results provided in accordance with accounting principles generally accepted in the United States. Standex believes that such information provides an additional measurement and consistent historical comparison of the company's performance. On the call today is Standex's Chairman, President and Chief Executive Officer, David Dunbar; and Chief Financial Officer and Treasurer, Ademir Sarcevic.
David Dunbar: Thank you, Gary. Good morning, and welcome to our fiscal year first quarter 2022 conference call. I'm very pleased with our first quarter results, which reflected solid financial performance and an expanding pipeline of growth opportunities. Standex is a stronger company today as a result of well executed portfolio move in the higher level of performance of our businesses. We continue to have a favorable outlook for fiscal 2022 and look forward to further successfully executing on our growth strategy. I want to thank our employees, executive teams and the Board of Directors for their dedication and support as we further grow our portfolio of high quality businesses. Now, if everyone can turn to Slide 3, key messages. Revenue and consolidated adjusted operating margin increased significantly year-on-year in fiscal first quarter 2022, as we leveraged positive demand trends and converted new business opportunities from our pipeline. Consolidated organic revenue growth of approximately 17% year-on-year reflected strength in our Electronics and Scientific segments. Electronics revenue increased approximately 37% year-on-year, primarily due to a broad based geographical recovery with continued solid demand for relays in renewable energy and electric vehicle applications, along with positive trends in transportation, appliance, test and measurement and distribution end markets. Scientific segment revenue increased approximately 29% year-on-year driven by retail pharmacies, clinical laboratory and academic institution end markets. Consolidated adjusted operating margin of 13.4% was a 250 basis point year-on-year increase and represented our second consecutive quarter of delivering our highest consolidated margin in Standex history. Our results also reinforce the benefit of our continued investment in end markets that have healthy growth prospects and where we can incorporate our innovative solutions and strong customer value proposition. Sequentially, total company backlog realizable in under one year increased approximately 12% with strength particularly at the Electronics, Specialty Solutions, and Engraving segments.  At the Electronic segment, the new business opportunity pipeline continues to grow and we are seeing positive trends in such end markets as electric and heavy duty vehicles, defense, industrial and aerospace. In addition, Renco Electronics, which we acquired a little over a year ago, is contributing to the growth of our opportunity pipeline as we realize sales synergies from cross-selling opportunities in our expanded customer base.  At the Scientific segment, we are also introducing a new product family, blood bank refrigerators and plasma freezers, leveraging our expertise in life sciences and refrigeration to expand into adjacent markets.  Execution on our active funnel of productivity and efficiency initiatives is further adding to our success. We're driving manufacturing and supply chain productivity with actions including new lean programs, and mitigating inflationary trends through price realization and value engineering. In addition, our reed switch production and material substitution project at the Electronics segment continues to mitigate some of the material inflation we are seeing and remains on track to be substantially complete by the end of fiscal 2022.  We continue to have significant financial flexibility to pursue new organic and inorganic growth opportunities, given our strong balance sheet and liquidity position and consistent cash flow generation. Ademir will discuss our financial performance in greater detail later in the call.  In regard to our financial outlook, we are off to a solid start to the fiscal year and continue to expect stronger financial performance year-on-year in fiscal 2022. In the second quarter, we expect revenue and operating margin to increase slightly compared to fiscal first quarter 2022 and significantly compared to the year ago quarter.  Now, please turn to Slide 4, and I will begin to discuss our segments’ financial performance beginning with Electronics. Revenue increased approximately $20.6 million or 37.2% year-on-year, including 36.1% organic growth, reflecting continued broad based geographic and end market strength as well over 1.1% positive contribution from foreign exchange. Operating income increased approximately $9.1 million or 100.2% year-on-year due to operating leverage associated with revenue growth and productivity initiatives, partially offset by increased raw material and freight costs. Looking ahead, we have a very active new business opportunity funnel of approximately $61 million, which is expected to deliver first year sales of $19 million with positive trends across all major geographic areas and business units and are well positioned to further capture additional customer business. Electronics backlog realizable under a year sequentially increased approximately $13 million, or 11% in fiscal first quarter '22.  The picture on Slide 4 highlights the success of our customer intimacy sales model and moving up the value stack in a customer's product. In this example, we address a customer application in 2015 by supplying a packaged reed switch. This led to the opportunity to develop an entire sensor in 2018 which expanded by incorporating additional functions in 2021. As our collaboration evolves, so does our value provided, reinforcing the importance of our firm technical and applications expertise.  Regarding the fiscal second quarter 2022 outlook, we expect a slight sequential decrease in Electronics revenue and operating margin, reflecting a lower number of production and shipping days and product mix in the quarter.  Please turn to Slide 5 for a discussion of the Engraving segment. Year-on-year revenue decreased approximately $1.2 million or 3.4% and operating income was nearly $1 million lower or a 17% decrease due to the timing of projects and geographic mix, partially offset by productivity actions. Laneway sales of approximately $14.9 million represented a 27% increase year-on-year, including a positive demand outlook for soft trim tools, laser engraving and tool finishing. Sequentially, backlog realizable under a year increased $5.9 million, or approximately 44% in fiscal first quarter '22.  The picture highlighted on Slide 5 show the Tesla Model Y version. Through cross-regional collaboration within the segment and based upon our soft trim proprietary technology, we were able to supply two sets of tools substantially faster than our competitors’ production capability, further driving our growth opportunity in the China market. In fiscal second quarter '22, we expect a slight sequential increase in Engraving segment revenue and operating margin. This is due to the timing of projects, regional mix and demand for soft trim tooling, complemented by the impact of additional productivity initiatives.  Turning to Slide 6, the Scientific segment. Revenue increased approximately $4.9 million or 29.2% year-on-year, reflecting positive trends at pharmaceutical channels, clinical laboratories and academic institutions. Operating income increased approximately $0.4 million or 10.6% year-on-year due to volume growth and pricing initiatives, balanced with investments to support future growth opportunities and higher freight costs. Sequentially, backlog realizable under a year increased $1.6 million, or approximately 27% in fiscal first quarter in fiscal '22. Significant orders in the quarter were placed to support replacement and aging cabinets from retail pharmacy locations, a phenomenon we expect to expand as our installed base grows.  As highlighted on Slide 6, we have applied our growth discipline processes in a two year development project to leverage our expertise and intellectual property in life sciences and refrigeration into adjacent product categories and are introducing a new products family, blood bank refrigerators and plasma freezers. This product launch includes two sizes of refrigerators and freezers designed for hospitals, blood banks and other medical, clinical and research facilities. These products comply with all relevant industry requirements, including those from the FDA, and the Association for the Advancement of Blood & Biotherapies.  In fiscal second quarter '22, we expect Scientific revenue and operating margin to be similar to our first quarter, reflecting continued demand for vaccine storage, accompanied by the return of demand from traditional end segments and pricing actions partially offset by increased freight costs.  Turning to the Engineering Technologies segment on Slide 7. First quarter revenue of $17.6 million was similar year-on-year due to positive trends in the space end market balanced with the absence of the recently divested Enginetics business and the economic impact of COVID-19 on this segment’s end markets. Operating income increased approximately $0.4 million representing a 91.7% increase year-on-year, reflecting product mix and ongoing productivity initiatives offset by $1.1 million one-time project-related charge. We have an active new business opportunity pipeline in both space and aviation.  In addition, as highlighted on Slide 7, our opportunities are also expanding in international defense end markets. As shown here, we are collaborating with customers to develop bulkhead assembly and additional solutions for domestic and international armored vehicles and have also captured customer wins to develop nose cone adjacent products in next generation missile programs.  Regarding our outlook. In fiscal second quarter '22, we expect revenue to be sequentially similar with positive commercial aviation and defense trends, partially offset by project timing in the space end market. However, we expect a significant increase in operating margin due to project mix, productivity initiatives and the absence of the onetime project related charge which occurred in the first quarter.  Please turn to Slide 8, Specialty Solutions. On a year-on-year basis, Specialty Solutions revenue increased approximately $0.2 million or slightly under 1% and the operating income decreased $1.1 million or 27.9%. First quarter results reflected end market recovery particularly in food service markets, offset by the impact of a prior work stoppage which has since been resolved.  In addition, we experienced material inflation which we are seeking to recover through pricing actions. We have a very strong backlog position realizable under a year, which sequentially increased $8.7 million or approximately 33% in the first quarter. We also continue to expand our merchandising product portfolio. Highlighted on Slide 8 is the recently launched Vision Series available in heated refrigerated and non-refrigerated options.  Developed through Standex’s and GDP+ growth process, this is a ground-up redesign of our core product. The new version of this product has several attractive features including modern styling with a very viewable and accessible product area. The Vision Series can accommodate a significant amount of food product in a highly efficient footprint and is capable of running under a variety of conditions, including high temperature and humidity.  In regard to our second quarter Specialty Solutions outlook, we expect a moderate sequential increase in revenue and operating margin due to execution on our strong backlog position and the absence of the financial impact of the prior work stoppage. We continue to focus on recovering material inflation through pricing actions.  I'll now turn the call over to Ademir who will discuss our financial performance in greater detail.
Ademir Sarcevic : Well, thank you, David, and good morning, everyone. First, I will provide a few key takeaways from our fiscal first quarter 2022 results, which exhibited strength across several important metrics. Organic revenue growth of approximately 17% year-on-year reflected solid demand trends at our Electronics and Scientific segments. In addition, we continue to see overall healthy order trends across the company as we enter our fiscal second quarter.  From a margin standpoint, adjusted consolidated operating margin of 13.4% increased both sequentially and year-on-year and represented our second consecutive quarter of highest margin in Standex’s history. This strong operating performance reflects several factors including effectively leveraging volume growth, realizing the benefits of price and productivity actions, and the positive impact of our prior strategic portfolio moves. Also, our financial strength is afforded by consistent free cash flow generation, which increased year-on-year.  In summary, we are entering our fiscal second quarter with positive order trend, active funnel of productivity initiatives and an expectation for continued solid cash generation in fiscal 2022, all further adding to our strong financial position.  Now let's turn to Slide 9, first quarter 2022 income statement summary. On a consolidated basis, total revenue increased 16.1% year-on-year from $151.3 million in fiscal first quarter 2021 to $175.6 million this quarter. This revenue increase primarily reflects a strong organic growth at the Electronics and Scientific segments and a positive contribution from foreign exchange. Revenue growth was partially offset by the divestiture of the Enginetics business which occurred in the third quarter of fiscal 2021 and strength at the Engraving segment which reflect the timing of projects. Enginetics contributed approximately $3 million in revenue in the fiscal first quarter of 2021.  On a year-on-year basis, our adjusted operating margin increased 250 basis points to 13.4% reflecting operating leverage associated with revenue growth, and the readout of price and productivity actions. This is partially offset by a $1.1 million one-time project related charge as Engineering Technologies segment, and the financial impact of work stoppage in the Specialty Solutions segment, which has since been resolved.  As expected, our tax rate increased to 25%, compared to 22% in the first quarter of 2021. We expect the second quarter tax rate will be similar to the first quarter rate, and that the overall tax rate for fiscal 2022 to be in the 24% range. Adjusted earnings per share were $1.34 in the first quarter of 2022, compared to $0.96 a year ago.  Now, please turn to Slide 10, first quarter 2022 free cash flow. We generated free cash flow of approximately $8.1 million in the first quarter of 2022, compared to free cash flow $4.4 million in the first quarter of 2021. We continue to successfully execute on our financial initiatives, with working capital turns of 5.6x representing a 33% increase year-on-year. Next, please turn to Slide 11 for a summary of Standex's capitalization structure and liquidity statistics, which remain strong. Standex had net debt of $68.9 million at the end of September, compared to $63.1 million at the end of June, reflecting free cash flow of approximately $8.1 million, offset by $9.5 million of stock repurchases, along with dividends and changes in foreign exchange. Our net debt for fiscal first quarter of 2022 consisted primarily of long-term debt of $199.6 million. Cash and cash equivalents totaled $130.7 million, with approximately $102 million held by foreign subs. We had approximately $267 million of available liquidity at the end of September. Our net debt to adjusted EBITDA leverage ratio was approximately 0.58x with a net debt to total capital ratio of 11.8%. We expect that we will repatriate approximately $35 million in cash in fiscal 2022. From a capital allocation perspective, we repurchased approximately 97,000 shares for $9.5 million in fiscal first quarter 2022 with approximately $12.5 million remaining on our current repurchase authorization. We also declared our 229th consecutive quarterly cash dividend on October 28th of $0.96 per share, approximately 8% increase over the prior four quarterly dividend payments. Finally, we expect capital expenditures of approximately $25 million to $30 million in fiscal 2022.  I will now turn the call over to David for closing comments.
David Dunbar: Thank you, Ademir. If everyone can please turn to Slide 12 for key takeaways. In fiscal '22, we expect stronger financial performance year-on-year as we execute on the positive end market trends we are seeing and further drive ongoing productivity initiatives across our significantly strengthened portfolio. Underpinning this outlook is a very active pipeline of growth opportunities with a positive trajectory in our new business opportunity funnel, and new product introductions. We are leveraging a significant number of growth opportunities in front of us through ongoing manufacturing and supply chain productivity actions, including initiatives such as new lean programs, and mitigating inflationary trends through price realization and cost consolidation efforts. Our strong balance sheet and liquidity position and consistent free cash flow generation position us very well to pursue both organic and inorganic growth opportunities, and we remain opportunistic and disciplined in allocating capital. As highlighted by some of the order trends discussed today, our approach is resonating with customers reflecting the strength of our deep technical and applications expertise in innovative solutions and reinforcing the value of our high quality businesses.  Operator, I will now open the line for questions.
Operator: . First question comes from Chris Moore with CJS Securities. 
Chris Moore: Another excellent quarter. It seems like most of the conversation on earnings calls this quarter are focused on supply chain, inflation and labor. Any thoughts how Standex is able to kind of avoid that as a focus?
David Dunbar: Yes, there's a couple of important perspectives there, Chris. You know, a year ago, two years ago how much we were struggling with rhodium in Electronics business. And as the team got their arms around that, they’ve completely changed their cost management of the rhodium and more importantly, your pricing process. So they used to have a lot of 12 month pricing agreements, they went to monthly pricing. All, of course, were reviewed by management. So that really started last -- by last November, the last 12 months agreement had sunsetted. And you've seen the results have been very effective managing in place.  Well, we have been communicating out across all the businesses of Standex. And it's really evolved into all of our businesses to be a little more bold I guess, our passing price through whether it's from freight or material. So we're seeing that margin play. It is never easy to have those discussions with customers, I don't want to say that it's easy, but we've really improved our practice over the last year.  The second thing on supply chain, most of our businesses, their supply chain, it comes -- we source in a region, for plants in a region, for customers in a region. We have a couple of businesses, though, that are dependent on the global supply chain, Scientific and hydraulics. And you saw the Scientific results, they're doing a very nice job managing through those challenges, managing international freight. So I think it's limited to those two businesses. So that’s why at a corporate level, you haven't seen a hit as much by those issues.
Chris Moore: Very helpful. If we could switch to, Electronics, obviously, such an important component of revenue and profitability. And maybe can you talk a little bit more about visibility in this specific segment, any feel for kind of distributor inventory levels, just kind of any additional thoughts in terms of what you're seeing there?
David Dunbar: Well, we have -- we serve a wide variety of end markets here. And our sales to distributors, it’s about 20% of the sales of the entire business. And distributor levels have been kind of growing consistent with the rest of the business. So we haven't seen any dramatic swing in the mix of our sales by channel. Some people have asked us, are you seeing any excessive buying as customers are trying to get ahead of potential supply issues? There may be some of that in there. However, we see growth in our . Our new applications are ramping up quickly, growth in relay products. So the overall mix of the business still remains good. And in fact, in October, we just -- sales remained strong and our book-to-bill ratio in October was 1.2. So whatever is going on in distribution, it's not enough to sort of dampen the overall demand we're seeing in that market, in that business.
Chris Moore: Last one for me. Just trying to better understand the end markets where you might still be in a little bit of catch up mode from COVID and could provide a tailwind at some point in time. Any more thoughts there?
David Dunbar: Yes, let’s see. So we had thought all along that the slowest and the latest catch up would be in the foodservice, equipment markets. We had thought that by next quarter, starting calendar '22, those markets to be caught up. But I think from a Federal, we could come back to pre-COVID levels. I think this quarter, the aviation market, our shipments into aviation will be back to pre-COVID levels this quarter. Everything else I think is at or above pre-COVID levels.
Ademir Sarcevic: Yes, Chris, I agree. I think for the most part we’re already there. And to David's point, we are seeing really good order rates across our businesses, across the market, which is a positive time for sure.
Operator: Next question comes from Chris Howe, Barrington Research.
Chris Howe : I guess starting with the Scientific segment, you continue to do well in that segment coming ahead of expectations here. We know we have the tougher comparisons going against last year. But you mentioned continuing demand for vaccine storage, as well as some other initiatives there. Can you just talked about the puts and takes that led to the quarter and your outlook?
David Dunbar: Yes. A couple of positive things in the quarter. I have to say the sales -- if you were to look at our internal discussions a quarter or so ago, the business exceeded our internal estimates. A couple of things happened in the quarter. We are seeing continued order for COVID vaccine storage. It's not as great as last winter. But we're seeing the orders come through the distributors that serve small clinics, physicians’ offices and with the approval of vaccinations for children aged 5 to 11, most of those vaccines will be given in doctors’ offices, and most doctors’ offices don't have a storage unit. So we do think there's kind of a steady runway of sales to that.  Second thing that really is important for us is, we received quite a large order for about a six to eight month period to deliver cabinets to replace units that were installed four or five years ago. And as our installed base increases, and there are more cabinets around the country, these cabinets have four to seven year service life and we expect to see more sustained kind of replacement business and that was a factor too.
Chris Howe: Seems very interesting. Certainly some positive dynamics there. You finished the quarter at about a 20.9% operating margin. You've kind of hinted that it's around 20%, continuing to make investments along that segment. How should we think about margin or am I too….?
David Dunbar: I would say we continue to kind of peg people's expectations to get to low 20% margins in this business. Quarter by quarter, of course, there's some variation. This last quarter, this is a business that is facing headwinds in their supply chain, the cost of freight from Asia and the  companies. Year and a half ago, it was $4,000 container. It’s $15,000 to $20,000 at a spot price. So they're dealing with have to passing price through. We’re also making investments. We had -- about three, four years ago, we had one or two engineers in this business. We got a team of 15 now that are working on an active pipeline of new products. And on this page, you see our new products, the blood bank and plasma freezers. This is a brand new market segment for us. This is very attractive segment. This is a more than two year development. And I'm very proud of the team. We're very excited about this. And in quarters passed, we've referenced the fact that we're developing new products, and the release of these new products could get us into new segments to provide the next leg of growth for this business.  So this is just the beginning and the blood bank and plasma freezer, it’s another gear that this business can shift into. 
Chris Howe: Okay. And my last question, just following up on the previous questions about the supply chain. Certainly this is a fantastic quarter in my view, given the challenges that we all face with freights and supply chain delays. How would you assess how you balance optimism over caution in this environment? Certainly we'd like this trend to continue from Q1 versus expectations. And I guess more specifically, is there a way to put a number on the challenges that you had to offset in the quarter?
David Dunbar: Yes, let me take a stab at that and Ademir can correct everything I get wrong. The -- how we balance optimism with caution? Our internal targets are always hires than what we communicate. I think as we get better at forecasting and -- we just implemented -- I look at  system across our businesses, we have much better visibility to the cost structure month by month in all of our businesses. So we think we're tightening up our ability forecasting over time, maybe that buffer between our internal estimates and what we communicate externally will get narrower.  On the headwinds we face, in the quarter, our estimate that we’ll overcome in our business is supply chain issues. So there’s maybe $4 million across the corporation of shipment set that we couldn't get because we're missing a component or we’ve some supply chain issues. So that maybe gives you an idea of the order of magnitude across our business. And Ademir you can fill in anything…. 
Ademir Sarcevic: Actually I got nothing to correct in there. This is the good way to summarize the freight thing. We expect we're going to continue to see supply chain issues like a lot of companies and -- but I think one point that we want to make sure doesn't get lost, we are really turning the corner becoming an operating company where we can manage our costs really, really well. And we have productivity initiatives in place. And to David's point we have a forecast A, B and C and we know how to manage or try to manage against different throw balls that the market can throw at us, so we are trying to manage as we can.
Operator: Next question comes from Chris McGinnis, Sidoti & Company.
Chris McGinnis : David, would you mind just maybe talking a little bit about -- you made some management changes last quarter with Flavio. And can you just talk a little bit about maybe how they're progressing in the new roles? If you don't mind spending a couple minutes on that.
David Dunbar: Yes. So the changes we highlighted last quarter, we're moving Flavio into this innovation and technology world, which I actually wanted to do a couple years ago, but we had so much portfolio management we had to do, they're just looking at the right time. So Flavio's primary focus is hitting some key deadlines on our solar energy project we referred to last quarter, which in the next couple months are some important milestones there. He has started a process with all the businesses to develop a pipeline of technology ideas that will now start moving through the pipeline for evaluation and maybe eventually to new product development.  Most of our new product development has come from our current products, our current customers, and sort of the next step for those things. So very customer input focused. Flavio is bringing a technology view of how new technology is maybe threats or opportunities for us. So I think, he’s off to a good start. And just as we're now beginning to communicate, we have new products coming out of our pipeline in the coming quarters, I'd expect that we will be coming and communicating output of that technology role.  And as Flavio moves in this role, we move Jim Hooven moving from the corporate ops role to lead the Engraving business. And it's always, I guess, interesting and fun and rewarding to see what happens when there's a management change in an organization, because everybody brings a different set of skills and different perspective. I'd say the transition has gone very smoothly. Jim and the Engraving team are working together very well. And Jim brings a deep toolkit of operational discipline, operational practices that are being applied across the business to improve forecasting, improve labor management. So we're very pleased with the early returns on both of those moves.
Chris McGinnis : Just given the strength of the balance sheet, would you mind commenting on the M&A environment as well?
David Dunbar: Yes. We have an active pipeline. We're working it pretty hard. And there's no saying on recording. It's maybe kind of push here, but you have to kiss a lot of frogs to find the handsome prince. And we are, I guess I'm the chief frog kisser, chief frog kissing officer. We are working on a lot of opportunities. And we -- I think we made a lot of acquisitions since I've been here. Many more good ones and bad ones and on the whole I’m very pleased with the discipline we’ve created in identifying businesses that meet our strategic criteria, valuing them fairly, paying a fair price and then getting value out of them. So we apply all those same principles as we evaluate these opportunities.  And I have, I got the final point to make Chris is in recent years -- I have mentioned this, I should maybe restate it. We are working to get larger businesses into our pipeline. As we have more track record, especially in Electronics of integrating businesses, we think we can start to bring in more sales in larger businesses at a time, where our typical acquisition was family owned businesses that were $10 million, $15 million, $20 million, $30 million in sales, where we're widening the aperture of our funnel.
Chris McGinnis : And then just one last question. Obviously, you've really handled the external environment pretty well in terms of the inflationary environment, supply chain. What most concerns you when you look out of the kind the global economy versus your business? I guess what are your concerns, David? Thanks.
David Dunbar: Well, I guess my concern -- let me answer a slightly different question than you asked. My main concern is, our businesses are in a great situation now. We have good positions in the market. We have a great portfolio. When you see the performance of this portfolio, it’s weeding through now. We have a collection of really good businesses. We are pivoting a lot of our attention to identifying new opportunities, developing new products, bringing new technology to market. And I want to use this opportunity we have now to invest those funds wisely to provide the next leg of growth for the company in the coming years. So I guess what keeps me awake at night is, are we going hard at that, are we fast enough? Are we putting a place to discipline? And really being smart about investing for growth.
Operator: . At this time, we have no further questions. Now I'd like to turn the conference back over to Mr. David Dunbar for closing remarks. Please go ahead. 
David Dunbar: Thank you. Thank you to all for your interest in Standex. I just want to send again a thank you, a great appreciation to the employees of Standex who are managing very well through a difficult environment. And we look forward to reporting back to you in three months from now on our second quarter. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. 